Operator: Good afternoon, and welcome to the First Quarter 2021 Financial Results Conference Call for Verb Technology Company, Inc. [Operator Instructions] Please be advised, this call is being recorded at the company's request. Today, on our call are Rory J. Cutaia, CEO; and Jeff Clayborne, CFO.
 Before we begin, I'd like to remind everyone that statements made during this conference call will include forward-looking statements under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, which involve risks and uncertainties that can cause actual results to differ materially. Forward-looking statements speak only as of the date they are made, except as required by law as the underlying facts and circumstances may change. Verb Technology Company disclaims any obligations to update these forward-looking statements as well as those contained in the company's current and subsequent filings with the SEC.
 And now I'd like to turn the call over to Rory J. Cutaia, CEO. Please go ahead, sir. 
Rory Cutaia: Thank you, and I thank everyone for joining us today for our first quarter 2021 financial results conference call.
 As you know, our last earnings call for Q4 and the full year 2020 was just 6 weeks ago, on March 31. And in that call, a fairly lengthy call, the transcript for which is available in our filed Form 8-K, you can find it on our website, I provided a very detailed report on the business, our products and our plans for 2021. And since we were at the end of the Q1 2021 reporting period, I also provided forward-looking guidance on our expected results for Q1 2021.
 So on this call, I'm not going to take time reiterating much of what I shared last time. And instead, I'll update you as to how the business actually performed as compared to the guidance we provided on the March 31 call and the progress we've made on the hyper growth initiatives or at least those that I've shared so far and referenced in prior reports.
 So let me start by saying that I'm really pleased to announce that our actual Q1 results beat our projected Q1 results, which, look, we're widely seeing as somewhat bullish as they represented a fairly meaningful increase over Q4 2020. And look, as good as these results are, they do not yet include the results of any of the hyper growth initiatives that we've been working on but I am extremely pleased to report. In fact, I'm very proud of my team because, as promised and on time, we've completed development and testing of our Attribution feature from verbLIVE. And it's being released today to the Apple App Store and Google Play Store.
 We believe this is a real game changer. It takes the burgeoning livestream e-commerce industry to an entirely new level. And as amazing as our verbLIVE technology is, Attribution increases the total addressable market for this product exponentially. So let me explain.
 So yes, the number of people adopting video for their sales and marketing efforts has indeed grown dramatically since we first began talking about it several years ago. And as you've heard me say many times, if you're not using video in your sales and marketing initiatives, you're -- look, you're not even in the game, right?
 So what started as a cool technology when we launched our business has, as we predicted, become sales and marketing table stakes. And now we're making a new prediction. We believe livestream e-commerce will dominate online sales in the U.S. just as it has in China. In 2020, in China, more than $136 billion in sales were done through livestream e-commerce. Last year, more than 500 million people made purchases through livestreams in China. When we predicted the growth of video and interactive video, we were right then and we're right now. 
 For those of you who don't know what livestream e-commerce is, it's the ability of consumers to click in a video during a live broadcast to purchase products, not just click on the text and static images on popular websites but right in the live broadcast videos. And we're bringing that technology to everyone, allowing anyone to host their own live QVC or Home Shopping Network style sales channel, with clickable, in-video purchase capabilities, eliminating friction from the sales process. That's right. Your viewers, they don't have to call a phone number or go to a website to purchase the products that they're watching live. 
 Okay. Now look, not everyone wants to be in front of the camera. Not everyone feels comfortable hosting a live event. Not everyone feels confident pitching a product or service or pitching themselves on live video. But we all know someone who does, right? We all know that person, right? So this is where our new Attribution feature becomes the killer app.
 With verbLIVE Attribution, you can send your prospects and customers to watch that person's livestream. And when any of your prospects or customers make a purchase while watching that livestream, you get paid. The VERB platform tracks it all and is able to attribute each sale to the correct person that invited the purchaser.
 That's how we all win. And that's how we expand the already massive total addressable market to livestream e-commerce exponentially. Attribution is our proprietary technology. We conceived it, we developed it and now we're launching it.
 I mentioned 6 weeks ago, on our last earnings call, that we signed the first of what we expect will be a $1 million-a-year client. Well, this is why they signed up. They are a $1 billion global business, and this is what has them excited. And as I mentioned last time, our sales department has a robust pipeline of other large clients that have been waiting to get their hands on verbLIVE with Attribution for their teams.
 It's this type of market-leading innovation that will drive our business in 2021 and beyond. And with the changes that we've now made to our product and development teams and agile processes, we can now deliver this innovation far more rapidly, reliably and at a lower cost than ever before.
 We're doing away with the false starts. No more missed deadlines. Look, back then, we were creating something entirely new. We didn't know what we didn't know. We've evolved and so has our tech, and so has our teams and our capabilities.
 Going forward, our lower development cost structure brings added benefits. Our finance teams have been developing a plan that will reduce our burn quarter-over-quarter, reducing our reliance on outside capital and driving us towards cash flow positive profitability.
 We believe livestream e-commerce is going to be the single, biggest disruptive force to happen to online selling. And we believe our Attribution feature is the rocket fuel that's going to drive it. This is one of the hyper growth initiatives we've been working on for the past year that I promised we would deliver. 
 But there's more. Among the other ones that I can talk about today is our Microsoft Outlook integration. As I reported on our March 31 earnings call, we have begun the public beta release of an integration of our interactive video technology into Microsoft Outlook.
 As I indicated then, we were contemplating a 90-day beta test period, which we're about halfway through. We've got some high-quality companies in the beta test. And as I've recently learned, many of our investors have signed up for the new beta program and are actively using it, which I think is actually pretty cool.
 As those of you who are currently playing with it now and as you know, Outlook users who subscribe will have a new button in their toolbar that says the word "mail." Clicking this allows users to create a quick video mail right in Outlook and then add interactive icons such as Buy It Now, among other interactive features, and then send it out through Outlook.
 Look, video has become the preferred means of communication. And now you no longer have to leave Outlook to create and send your video, and even better, a VERB-style interactive video right in and through Outlook. And as you've heard me say, there's over 1 billion Outlook users worldwide, many of whom will likely be drawn to this feature set. At least, that's what we believe, and that's what the market is telling us. We anticipate that enterprise users will be able to edit their Office 365 subscription, making it available to their entire organization. 
 Look, when we get into the Q&A section today, maybe it would be great if any of our investor beta testers would be interested in commenting on their experience so far with the app. This is, of course, the initial feature set release, which does indeed represent a very compelling value proposition all by itself.
 But let me give you all a glimpse of what's to come with our Microsoft Outlook app as we intend to offer a series of follow-on releases, updates and upgrades. I think the last time I shared that through one of the upcoming follow-on releases, you'll be able to post your videos directly to social media from within Outlook.
 But check this one out. Picture this. And this is specifically for professional salespeople. You will be able to send your VERB mail, interactive video out through Outlook. And then the moment when your customer or prospect watches a video, you'll get a pop-up message on your computer or mobile device notifying you about that. All right. So let me just stop there for a second because we actually already have that feature built into our verbCRM product. 
 But here's where we go next level. So that pop-up message in Outlook not only tells you that your video is being watched by your prospect, but it also gives you the option to click on that pop-up message and decide if you want your prospect to know, while he or she is watching that video, that you're online right then and available to talk if they want to.
 Now check this out. If you select that option, a message then pops up on the screen of your prospect while they're watching your video, letting them know that you're available in that moment. And if they want to chat with you, they can click on that message, and now get this, it will launch a 2-way, interactive verbLIVE, Zoom-like session, except with the interactive e-commerce capability, right there and then while their interest level is peaked and eliminating so much friction from the sales process, where it almost eliminates gravity itself.
 Okay. So right. So I'm exaggerating a little bit. You're not actually going to float away. But you may feel like you're floating a bit above the competition, right?
 All right. So all right. Corny, but seriously, look, this is the new VERB, the next level of interactive video-based sales tools, and it's all coming this year.
 So I've been asked how does this fit into the Microsoft ecosystem? Why are they interested? And let me tell you what I've been told by Microsoft.
 They are keenly focused on their Azure Cloud Services platform, where they anticipate the greatest growth. Add-on applications native to their existing products that trigger a greater demand for Azure Cloud Services, especially among the large enterprises, are the much sought-after partnerships. And few Microsoft application add-ons have a greater need for Azure Cloud Services than video-based apps such as ours. Did I mention that there's over 1 billion Outlook users worldwide?
 All right. So look, next. Last time I talked about a forthcoming new platform that we've tentatively named Marketplace. And I know many of you are as excited as I am about it.
 Well, look, I'm going to save all the exciting details around that for a future press release, but I will share this. We've made extraordinary progress just over the past 6 weeks, since I last talked about this. We're actually running live shows on it every day from many retailers that have signed up for the platform.
 So don't go looking for it. You won't find it under the name Marketplace anywhere. And yes, it's a special and very unique application of our verbLIVE technology. But please, please be patient. When we're ready for the big reveal, we'll do an appropriate announcement. It's worthy of that.
 Let us finish our work. This is something that every one of our shareholders will be incredibly proud of, make you feel glad that you found this little company. Yes, it's that good, maybe the biggest value creator for ourselves and our shareholders among what is shaping up to be an amazing suite of sales technology products built around verbLIVE.
 We've actually got a number of new things to announce. And we think the best way to do that -- I think the best way to do that is we're going to host an Apple-like product release event, where all of you, including all of our customers, prospects, investors, analysts and techno geeks, can get a detailed look at what the new VERB has created.
 It will be a highly produced event that will be followed by a live, COVID-safe, in-office meet-and-greet at our Newport Beach office. So the planning for that is underway and slated for a date this summer. We will keep you posted.
 Okay. So now let me give you some high-level numbers for our Q1 2021 results. That's the 3 months ending March 31, 2021. And Jeff Clayborne will then provide much more detailed information.
 So SaaS -- total SaaS recurring revenue component of our total digital revenue was $1.5 million, an increase of 38% year-over-year and up 12% from Q4 2020. Total digital revenue was $1.8 million, an increase of 24% year-over-year and up 18% from Q4 2020. Total combined revenue was $2.5 million, an increase of almost 21% over Q4 2020. SaaS recurring revenue as a percentage of total digital was 81% compared with 73% for the same period last year.
 We added 16 new client contracts with a guaranteed base value of $900,000 and $424,000 in annual recurring. Cash totaled $12.9 million as of March 31, 2021, compared with $1.8 million on December 31, 2020.
 Total user downloads is now just over 2 million. Yes, we broke 2 million, up more than 47% over the 1.4 million we reported in the same period last year and up approximately over the 1.9 million we reported just 6 weeks ago on our last earnings call on March 26.
 So finally, as part of our continuing and our growing commitment to ESG initiatives, that's environmental, social and governance initiatives, throughout 2020 and into 2021, we launched several programs through our Verb for Humanity division to help small businesses recover from the impact of the pandemic among many other contributions, including the program to help aspiring Olympic athletes generate the income they need to pursue their dreams, all of which you'll find featured on our website at verb.tech.
 So now I'd like to turn the call over to Jeff Clayborne, our Chief Financial Officer, for a more detailed review of our financial results. 
Jeffrey Clayborne: Thank you, Rory, and good afternoon, everyone. I'd like to review our financial performance as reported in our Form 10-Q filed today, Thursday, May 13, for the quarterly period ending March 31, 2021. The following period-over-period comparisons present the company's results of operations for Q1 2021 versus Q1 2020. 
 Our total revenue for Q1 2021 was $2.5 million, a 7.3% increase from the $2.4 million reported in Q1 2020. Now simply looking at our top line revenue doesn't tell the whole story because it hides the actual growth we're enjoying in our digital business.
 As we reported each quarter, we began exiting the low-margin printing and fulfillment aspects of the legacy business long ago. So that revenue is going down as planned. In fact, it's down 19% from the same period last year. But this masks the growth we are seeing in our digital business, which is up nicely in Q1 2021 to $1.8 million for total digital, which is an increase of 24% from the $1.5 million reported in Q1 2020. And our total digital revenue growth was primarily driven by a 38% increase in our core SaaS recurring revenue, which totaled $1.5 million in Q1 2021 versus the $1.1 million in Q1 2020. In fact, for Q1 2021, our SaaS recurring revenue represents 81% of our total digital revenue compared with 73% for Q1 2020.
 Our total gross margin for the quarter ended March 31, 2021, remained essentially consistent compared to the quarter ended March 31, 2020.
 Research and development for Q1 2021 totaled $2.9 million, an increase of 126% from $1.3 million reported in Q1 2020, attributed to the development of verbLIVE, our Attribution feature Rory talked about as well as Microsoft Outlook integration and our new Marketplace platform you'll be hearing a lot more about.
 General and administration expenses for Q1 2021 totaled $7.3 million, an increase of 109% from the $3.5 million reported in Q1 2020 attributed primarily to noncash increases in stock compensation expense, labor, marketing and promotion and professional services expenses related to the support of our existing growth and anticipated product launches in Q2.
 In addition, we are incurring costs to support our implementation of NetSuite, ongoing compliance with Sarbanes-Oxley, plus an additional quarter of SoloFire operations. As Rory mentioned earlier, we are working aggressively on a plan to decrease our burn.
 Now moving on to the balance sheet. As of March 31, 2021, cash totaled $12.9 million, total assets were $43.6 million, total liabilities were $20.5 million and stockholders' equity was $23.1 million. On March 15, 2021, we completed a registered direct offering with a small group of institutional investors for the purchase and sale of 9,375,000 shares of common stock at a purchase price of $1.60 per share, which resulted in gross proceeds of $15 million. It was a straight common deal and an overnight transaction that did not include any warrants.
 As of May 10, 2021, there were 62,767,092 shares of our common stock issued and outstanding, which includes the shares issued in the $50 million offering. Of the total number of common shares issued outstanding, approximately 5.4 million shares or approximately 9% are owned or controlled by management and the Board members.
 Now I'd like to turn the call back over to the operator for Q&A. Operator? 
Operator: [Operator Instructions] Our first question comes from the line of Brian Kinstlinger with Alliance Global Partners. 
Brian Kinstlinger: First, I want to start with Microsoft and the beta testing, 2-part question. First, when do you think -- when do you expect it'll be completed? It sounds like about 45 days. But more importantly, what is the next step? Is the next step you have to make changes based on the findings? And then there's another 90 days of testing? Or is it ready for sale?
 And then the second part of the question is, I believe last quarter you talked about a certain status for third-party technology vendors for Microsoft. And I'm -- that makes it much more seamless for Microsoft ISVs and obviously much more lucrative for companies like yourself. Can you update us on that status and when we might find out about that? 
Rory Cutaia: Sure. So with respect to the Microsoft Outlook integration, the ongoing public beta, so you're right. We're about halfway through it. There's about 45 days left. We may decide that it's not necessary to go the entire 45 days. We're currently looking at that. It is going really extremely well.
 Our intention is not as some companies do. They wait until the end of the beta period. They collect all the changes, and they go implement those changes. That's not what we're doing. We're iterating and making changes as we proceed so that at the end of the process, we've got all the feedback. All the changes are in, tweaks, whatever it might be, new features. So that's what's contemplated.
 We currently have a hard date now in June. But for you guys, I'm going to tell you, mid-June. And we're pretty confident that it will be done by then. I mean it's pretty good right now. I mean -- and I'm really underselling it. It's quite amazing actually. I think people are going to really like it.
 So the other part of your question was the Microsoft cell program that we are very eager to be a part of. So we have submitted our paperwork on it. It has to go through approval process there at Microsoft. We're extremely confident that we'll satisfy the parameters for that participation.
 And once in the cell program, Microsoft was talking about putting our application on their product catalog, making it available to their value-added resellers around the world, who can bundle it. They get all kinds of credits for doing that kind of thing. So there's a huge incentive inside Microsoft to help us market that product. And we're pretty optimistic about it. 
Brian Kinstlinger: And when would you find out about that? Once the beta is complete? Or could it happen way after? I mean I'm just trying to understand the timing of when you'd find out if you were part of that program. 
Rory Cutaia: We don't really know exactly the date they're going to do that. It could happen before the beta is complete. I would expect that it's going to happen either at completion or sometime thereafter. But to be perfectly honest with you, I just don't know. It's -- but I do know that it's not a year away and it's not 6 months away, something like that. 
Brian Kinstlinger: Yes. And then last quarter, you mentioned onboarding had gone slower than expected during the December quarter. Your SaaS recurring revenue, the sequential increase suggests that that's at least easing a bit. I'm wondering -- and I think we're talking about verbCRM. So are you able to -- right now, are you able to onboard as fast as you would like? Or are there still challenges, and so it's not going as fast as it possibly can? 
Rory Cutaia: So just I want to create some clarity around that. So yes, we did not onboard as many clients that were -- at least on our end, were ready for onboarding in December for a variety of reasons that related to their business and their decisions around how they would release products in their process due to the pandemic.
 So the delayed release schedule had nothing whatsoever to do with us or our internal processes or procedures. We're ready to onboard as rapidly as possible. And our systems and processes now accommodate many, many simultaneous onboards, even at the largest scale.
 So I could tell you that I think we left off in -- at the end of Q4. We had about 14 clients that were -- we had already teed up to onboard but were delayed by the clients for the reasons I've just said. I think in Q1, we had somewhere around 1/3 of them, perhaps. Maybe a little more than 1/3 have launched and onboarded. And I think, at the moment, we've got 15 that are teed up for launch. I'm hopeful we're going to see those come in, in Q2. On top of everything else, I think, it would be a nice quarter for us. 
Brian Kinstlinger: Great. Two more questions. The first one is, again, it's only been 6 weeks, to be fair. But you talked about, I think, 4 other customers with the same potential contract size of that $1 million deal. Has anything happened in 6 weeks that you can update us on? Are you in advanced discussions with any of those 4? Just maybe where are you with those? 
Rory Cutaia: Yes. In fact, I could tell you, as we speak right now, demos of Attribution are going on for all of those. And I can't overstate the excitement around Attribution, what that's going to mean for their businesses and anyone else that's going to use that new technology. As it relates to verbLIVE, it truly is a game changer. So yes, we're in advanced stages, and we're feeling very confident about that. 
Brian Kinstlinger: And then both you and Jeff talked about the cash burn. Obviously, there's 2 ways to address the cash burn. One is to improve revenues, and one is cutting expenses in your OpEx. And you've highlighted that, and the reasons are up substantially over the last few quarters. A lot of it has to do with initiatives and development of some of these new products.
 Are you suggesting that the burn will come down only because of revenue? Or do we expect -- or do you expect, sorry, OpEx to pull back some at some point in this year? 
Rory Cutaia: OpEx is going to pull back considerably this year. And the plans that we're developing around reducing cash burn do not rely on increased revenues. Now obviously, we're expecting revenue will increase rather dramatically.
 But as CEO of the company, it's my responsibility to reduce our reliance on outside capital as rapidly as we can. And as we continue to innovate, implement new processes and procedures around the development on our product, some of the things that we've already done, even just over the past couple of months, have made a massive difference.
 So I feel very confident in sharing with you that our cost structure should come down rather dramatically this year. And then layer on top of that, what we're anticipating, even on the lowest end of our estimates in terms of revenue growth. We could very well get to where we want to be faster than people expect. 
Operator: [Operator Instructions] Our next question comes from the line of Martin Saltzman with AFM Investments. 
Martin Saltzman: Rory. Great job this quarter, and congrats to your team. Yes, I wanted to just touch base on the Attribution program. And you mentioned it's actually being launched today, right? 
Rory Cutaia: It's being submitted to the App Stores today. 
Martin Saltzman: Being submitted. And when can you officially make -- maybe this is it, maybe your first public announcement of it because granted today was supposed to be an earnings call, it would seem to me that to really capitalize on global enterprise, you'd want to get that out as a separate announcement to people to let them know this program is alive and going and operating. 
Rory Cutaia: You're absolutely right. I wanted to share it with the investment community and our investors today on the call because we had promised that we're going to deliver that. And indeed, I wanted to make sure I share that.
 It's a major milestone for us. I really believe that this is going to be a gigantic driver for our live product. As you know -- as anyone who knows, it's been following us for the past couple of years. I've been a big proponent of verbLIVE and livestream e-commerce and what that means.
 And indeed, now we're seeing other companies coming into the space with their own versions of it, which, obviously, we're very excited about because we're intending to create a fairly massive shift in consumer behavior, and we can't do that alone. So we're very happy to see that.
 But Attribution is going to take it to a whole new level. And so I wanted to make sure I shared that today because it is indeed being submitted. It generally takes as quickly as 12 hours or up to 36 hours to get approval through the App Store. It will be in our clients' hands next week. They will be using it. They are really excited about it.
 And I mentioned during the call that we're going to host a big, highly produced Apple-like product release event. And during that, we're going to provide a lot of insights into the products, demos of the products, introducing you to people that have been behind the scenes working on these products and why they're proud of it and what it does. 
 But the other thing that I think will come out of that is that we will have had some history. Now albeit we're not talking about years of history, maybe a couple of months of history of clients actually using it and the results. And I think that's when we really want to go big because then it's not just talking about a home technology that Rory is all excited about. These are the results, and I think that's what's going to play big to the market when we make a big [indiscernible]. 
Martin Saltzman: So would you say a separate announcement of this is coming, and then you're going to do some type of web event, virtual event outside of that, like you just said? 
Rory Cutaia: Yes. You said it much more succinctly than I just did. 
Martin Saltzman: Okay. Well, I'm trying to use an economy of words. Let me ask this, Rory, because I'm trying to understand how VERB makes money off of the Attribution. I get verbLIVE, and I understand how a game changer that can be. But how do you capitalize? How does VERB capitalize income-wise on Attribution? Can you explain that a little bit? 
Rory Cutaia: Yes. We charge per user, per month. And depending upon what package our clients might be on with that, we're looking at somewhere, I think, on the low end of about $4.95 per month per user. We think everybody is going to want that, right? 
 And that increases our ARPU, our average revenue per user, handsomely. And we hope that as adoption rates grow on this, we'll see a corresponding increase in our revenue. Actually, we're expecting a pretty meaningful increase in our revenue.
 But one of the things that I mentioned ever so briefly and perhaps in a lot more detail in our last earnings call 6 weeks ago was this new platform, Marketplace. Marketplace has a different revenue model. And Marketplace is where we participate in a percentage of the sales being run through the platform, which, given the ongoing shows that are running every day right now, we got a good sense of what that's shaping up to be.
 That could be enormous. It could very well be bigger than anything else that we're doing. So we will be participating in a percentage of the sales there.
 And Attribution, that feature drives a tremendous amount of users and viewers to the platform because think about it. I mean you might want to send everyone on your contact list to go watch somebody's livestream, knowing that anyone who purchases a product, you're going to get paid on it. You don't have to do anything.
 So think about the volume that that's going to produce for that platform. And again, there, we're participating in the percentage of the sales that are done through the platform. 
Martin Saltzman: Yes. I think I'm understanding it. And I'm looking selfishly at VERB and how VERB is going to capitalize. So let me just try to run this by you. If I have some new skin product, okay, that's going to make me 10 years younger. And I have my list of contacts. And I have a video that I put together, and I send that out. And I get people saying, "Oh, great. Buy now, buy now." Then all of a sudden, I contact a friend of mine who has 5x the amount of contacts that might be interested in the skin care line like that.
 Are you saying, well, not only do I get compensated for people who buy off of someone else's database, that person gets compensated because it's their clients? How does VERB capitalize on all those people connected to me? Or am I looking at that wrong? 
Rory Cutaia: No. You're not looking at it wrong at all. Think about it like this. I'm going to host a verbLIVE event to promote that skincare product that you just referenced. And I might have the universe of 10,000 people, right?
 And let's say everyone -- just for the sake of the explanation, all of them are going to buy. You've got 30,000 people that you're connected to. But you're not good in front of the camera and you're never going to go promote a product. But you're going to send those 30,000 people to watch my livestream. And again, to make it simple, all of them buy.
 So now instead of having just 10,000 people purchased, now 40,000 people purchased. And VERB gets a percentage of the sales of everything done through the platform. 
Martin Saltzman: That's wonderful. That's a game changer because I didn't realize that every buyer, you could get some type of compensation. I just thought it was the initial user and perhaps the secondary user of one's database. I had no idea that it was like that. That's tremendous. 
Rory Cutaia: Yes, indeed. And when I said earlier in my comments that this is how we all win, that's what I mean. We all win. You win by referring your people, but you don't have to do anything except refer. The host of the event wins because his sales go up. And VERB and our shareholders win big time because we're getting a percentage of all of it. 
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Cutaia for any final comments. 
Rory Cutaia: So again, thank you all for taking the time to listen to all things happening here at VERB. It's been an exciting time. I realized it's only 6 weeks after our last call. But we have indeed made really extraordinary progress over the past 6 weeks.
 And look, you have a pretty good sense of where we're going, where the business is going. You're starting to see the livestream e-commerce, articles pop up, new companies pop up. I still believe that our technology is still far superior to everyone else's livestream e-commerce because we're placing those buttons right in the video, not along the bottom, not along the edge, right in the video. That's our proprietary technology, which we think is far more engaging because we're pointing to it, referring to it.
 So look, we've got really a tiger by the tail here. And I think we've got a real good handle on it. We know where we are. We know where we're going. We're super excited about it. It's going to be a great year. And I really just look forward to sharing it with all of you.
 And again, we're doing it together, we couldn't do it by ourselves. And I appreciate your time today. Thank you. 
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.